Operator: [Foreign Language] Good morning, ladies and gentlemen and welcome to the Enagás First Quarter Result Presentation of 2023. The results were published this morning before the market opening and they're available in our website www.enagas.es. Arturo Gonzalo CEO of Enagás will be in charge of this conference that we expect to last around 50 minutes. And next we will have a Q&A session that we will try to answer with as much detail as possible. Thank you for your attention. I will now give the floor to Mr. Arturo Gonzalo.
Arturo Gonzalo: Good morning, ladies and gentlemen and thank you very much for your attention. I'd like to welcome you to these first quarter result presentation. And with me today, we have the CFO, Luis Romero, the General Counsel and Corporate Items, Diego Trillo; the Director General of Communication Institutional Relationships, Felisa Martín; the Director of Investor Relations; Cesar Garcia; and the Director of Management Control and Business Assessment, Natalia Morajel. Given in the past four months, we have presented annual results for the fiscal year 2022 and even more recently, we have held general shareholders meeting, I will try to be brief and I will focus on the three first months of 2023. I will structure my intervention around four axles. First, I'd like to review the latest milestones of the execution of our strategic plan and I will also give some data on how the Spanish Gas System works. Second, I will review the main indicators of financial result for the first quarter. Third, I will review some of the milestones around ESG. And I will finish by reminding our objectives for 2023. The adjustment of our strategic plan 2022-2030 is even faster than what we expected with very relevant milestones. Within the framework of our asset rotation strategy, this morning we communicated to the CNMV, that we had closed the sale of our stake in the Morelos pipeline in Mexico for $95 million, an operation that as we mentioned in our annual result presentation was planned for the first quarter of the year. And it will represent a net capital gain of around €40 million for Enagás. These asset rotation process is allowing us to take advantage of opportunities in Europe, which is the main geographical focus of our strategic plan. As you know, January 27th we announced an agreement, through which we increased our stake in the European pipeline and Trans Adriatic Pipeline, TAP, up to 20% after acquiring an additional 4% that we are – to the 16% that we already had. This acquisition is an investment for Enagás of €168 million. And we forecast that TAP will provide us in 2023 with a dividend of around €70 million. In the first quarter, we also went through the approval of an increased capacity for TAP of 1.2 BCM to add to the 10 BCM that we had in the present for €133 million total. The company is still working in the open seasons to additional increases of capacity. TAP is a key infrastructure for the supply and security in Europe that could be adapted to transport in the future green hydrogen and so contribute in a very relevant way to the decarbonization objectives in Europe. All the very relevant advancements in the execution of our strategic plan that had taken place in the first month this year are agreement with Reganosa of February 28, through which we acquired its network of 130 kilometers of pipelines for €54 million.  And Reganosa is now part of our El Musel plan of what they acquired 25% for €95 million. And besides that through this agreement Enagás becomes a developer of the hydrogen pipeline Guitiriz-Zamora. This collaboration is based on the collaboration and the use of synergies and reinforces the Spanish Gas System. As far as the El Musel plant, we are advancing for delivery aligned with the More Security Energy Plan of the government of Spain. February 17, the CNMC approved single economic status for the logistic use of these -- 6 we launched an open season -- non-binding open season to assign capacity to the logistic services that this infrastructure is going to be providing, is going to be downloading storage and unloading of liquefied natural gas to contribute to the security of supply -- European supply energy supply. This fact has increased the interest of the agency in the system. 16 operators have provided offers to preserve the capacity of the plant. Our forecast is the plant of El Musel will start operations -- commercial operations in July. As for the behavior of the Spanish Gas System, its infrastructures have had an availability of 100%. And we have been able to guarantee supply at all moment in winter. And we have registered two cold snaps. I would like to provide some important information in the first quarter. Total exports of gas have increased by 104%. And they have reached an all-time high through the interconnections with France. We had never exported so much gas to France in the first quarter as it has happened in the first three months in 2023 starting March the 9th. And due to the strike in our neighboring country that had stopped a three out of its four liquefied natural gas terminals or interconnections with France working at full capacity from Spain to France. These exports are being possible because the incident that as you now took place in the compression station at Irún in February has been solved in record time. Allowing after April the 4, an export capacity of 225 gigawatt hour day and in the next few days we will reach its maximum capacity of 265 gigawatt hours a day through that inter connection. Since strike started in France, seven tankers towards French terminals have been sent to the regasification plants in Spain. The average filling level of the liquefied natural gas tanks in this quarter has been 60%, 10 potential points above the same period last year. In this three months, regasification plant in Spain have stored in its tanks 43% of the LNG of Europe. We have finished the winter season with our underground storage filled up to 78%, which means that we have complied with the filling objective that Europe set for September 2023. That level is today around 86%. We have had 9% more unloading of metal tankers in our plant and we have increased by 124% of ships towards and Italy is the main destination. The Spanish Gas System is clearly an entry point for the provision to Europe thanks to its flexibility and diversification. In the first quarter, Spain received gas from 13 different sources. On the evolution of gas demand, total transported demand by the Spanish Gas System that's including export has been 7% lower in the first quarter 2023 than the first quarter last year. If we compare the first quarter 2023 with the last one in 2022, we can see a positive evolution. Total transporter demand grew by 4.3%. In the case of conventional demand, it dropped by 13.9% in the first quarter, if compared with the first quarter last year. And this decrease is mainly due to the lower industrial consumption due to the war in Ukraine that started showing its effects the second quarter 2022, and also to the efficiency -- energy efficiency and saving measures. However, if we compare this demand with a conventional demand of the last quarter 2022, we can see that it has increased by 37.5%, due mainly to the improvement of industrial demand, especially in the refining sectors and the pharmaceutical and chemistry sectors and also to water conditions. We'll now like to start talking about the most relevant magnitudes of our financial results in the first three months of the year. After-tax benefit has reached €54.6 million. This figure is aligned with our budget and is also in accordance with our plans to achieve our annual objective included in the strategic plan 2022-2030 does not include the capital gain of the sale of the Morelos pipeline that already took place in the second quarter. Regulated income have been reduced by €14.3 billion, mainly due to the implementation of the regulatory framework 2021-2026 as well as the compensation of lower audited cost compared to the first quarter 2022. As far as the results of our affiliates, we should take into account that in the first quarter last year, we included €12 million from GNL Quintero, an asset does not contribute into our results given that as you know was sold in 2022. Our operating cost -- recurring operating cost in the quarter has stayed in line with the same period last year, which shows the efficacy of the measures in our efficiency plan. And it also shows that our commitment to limit cost is realistic in the context in which inflation in Europe is around 6.9%. According to the data in March that were released last year, in Spain it reached 3.1%, the second best data of the eurozone. Both our cash flows as well as our net debt have evolved aligned with the quarter for the first -- with the budget for the first quarter. And it's in accordance with our objectives for the whole year. We have a solid financial structure and also a great liquidity position that has allowed to amortize a €400 million bond that -- whose maturity was this quarter. After this operation, we have no other maturity -- relevant maturity in the fiscal year 2023. That's covered at a fixed rate and almost over 80% which allows us to mitigate the impact of present interest rates. And our leverage ratios are comparable with the BBB rating. As far as our positioning and ESG factors, we are also in leadership positions in the main indexes in the world. And I would like to highlight some milestones and awards in the first quarter. S&P Global has included in their sustainability 2023 and amongst the top 5% of companies in our sector or the most sustainable companies of the world in our sector. We have been awarded by the Carbon Disclosure Project as Supplier Engagement Leader for the climatic management we do in our value chain. Our real commitment with diversity has made Enagás has allowed Enagás to be awarded or recognized as a leading company in the gender equality index in Bloomberg and also include in the top 20 in the world ranking of Equileap of the 100 leading companies in gender equality. We have also -- for the 13th year in a row, we've also been awarded as top employers as one of the best companies to work in. As you can see, we keep on advancing in the three areas of ESG environmental, social and governance with the maximum possible transparency, a cross-cutting element that Enagás, has always been one of the key levers to integrate sustainability in our strategy. With the results of the first quarter, I'd like to highlight, that we are in the right path to meet the objectives that we have set for the year. I'd like to remind you the main ones, have an after-tax benefit of between €310 million to €320 million, reaching EBITDA of €770 million, received a total dividend from our associates of between €190 million and €200 million, make a net investment of around €250 million. Closed the fiscal year with net debt around €3,700 million, be able to maintain our recurring operating cost in line with the cost of 2022, and reach financial results associated to net debt of around €110 million. Keep funds-from-operation net debt ratio above 14% and so, making it compatible with the BBB rating. And so, and last, to be able to comply with our dividend policy that in 2023 we'll pay out €1.74 per share. And last, I'd like to finish with five conclusions. First, in this first quarter, we have kept high execution of our strategic plan 2022-2030, with milestones such as the sale of the Morelos pipeline, the increase of our stake in TAP, the agreement reached with Reganosa and also the steps to start operations at El Musel. Second, the results of Enagás. In the first three months of 2023, are aligned with what was forecasted to reach the objectives we have set, for the whole year. Third, our efficiency plan is still providing results. Recurring operational costs and expenses in this quarter are aligned with the objective we mentioned, which is that we will keep on maintaining the cost in this fiscal year.  Fourth, the Spanish Gas System facing 2023, with -- while being robust and with trust, to keep on contributing to Europe's and Spain's supply security and to achieve the European objectives for this decarbonization. And fifth, ESG criteria are a consolidated pillar in our strategy, with transparency as their main level. We keep on getting awards and leadership positions in the main indexes in the world. Thank you very much. And we will willing to answer your questions. Thank you.  [Foreign language]
Operator: Thank you, ladies and gentlemen. The Q&A session starts now. [Operator Instructions] [Foreign language] First question from Javier Suarez with Mediobanca. Please go ahead. 
Javier Suarez: Hello, good morning, everyone. And thank you very much for your presentation. I have a couple of questions. The first question is, regarding the asset rotation plan. You've mentioned that you continue to focus your attention on investments in Europe. Now, could you give us an update, on the arbitration in Peru? Remember by the end of 2022, you mentioned you were expecting the final award in the first half of the year, maybe April. So I was wondering, could you update us on the award of this arbitration of GSP? And also about the dividend situation of the Peruvian gas transport. That's first question. And second question regarding the cost-cutting or efficiency plan. I've been surprised to see that operational costs have been maintained fixed stable despite significant increases in inflation. So, my question is whether there have been any relevant conversations this year with the regulator about the need to represent high inflation in the regulatory formula for Enagás? And my third question is regarding the performance of affiliates consolidated with the equity method. Could you give us details on the most significant affiliates and their performance particularly Tallgrass? Thank you.
Arturo Gonzalo: Thank you very much Javier and good morning. We are now going to address your three questions. First, regarding the arbitration in Peru, I must say our expectation has not changed. We believe this is good news because this confirms the calendar that we have announced to the market the last year. We believe we're going to -- it's going to be a favorable award to GSP in the first half of this year probably towards the end of the first half. There are no changes in that regard. In the moment, we have that arbitration decision, we will communicate that to the market. We will issue a note to the stock exchange regulator. And there are no changes regarding the repatriation -- the arbitration regarding the repatriation of our dividend in GGP. We continue to trust in an award by the end of 2024 and which is what we've been explaining recently. So, really no changes in that regard. And we will duly notify the market whenever we have relevant information to share. Regarding the efficiency plan. As we have explained before, we have ongoing open conversations with the regulator regarding where we think the Spanish regulatory framework should evolve. And we believe it would be a good idea for it to include just like any other regulatory framework in our environment an inflation update. However, we do not take for granted any progress in this regard during the current regulatory period. And we focus our management on what we can actually manage. In this case, the efficiency plan, OpEx cost saving, recurring cost saving is the same levels as in 2022. We are meeting our commitment and we will continue to do so through the year. So, that's our commitment. And of course we have smooth relations with the regulator. And this is one of the open conversations. Regarding the performance of the main affiliates in Tallgrass in particular I'll ask our CFO to give you more details on that.
Luis Romero: Good morning Javier. The truth is that our affiliates are progressing as expected. The affiliates that weigh more this quarter or TGP some €20 million before tax -- profit before taxes excess some €6 million. The truth is that TGP is contributing more than last year and this is due to the outperformance of TGPI and the updated rates. The regulatory work and the demand are progressing well, too. Tallgrass, Tallgrass acquired Ruby and therefore the contribution is similar to that of last year. Q1 tends to be affected by the payment of real estate assets which is accounted for at 100%. And it will be offset through the year. Thank you, Javier.
Operator: [Foreign Language] Thank you for your questions, Javier. Are there any further questions? Next question by Fernando Garcia at RBC. Please go ahead.
Fernando Garcia: Good morning. Thank you very much for taking my questions. Actually I actually have three. The first question is regarding the regulation in Spain. I'd like to ask, why did you change your decision on the RCS for the next regulatory period, and whether that could be offset with other elements? And the next question is regarding green hydrogen. In your opinion, what are the necessary regulatory steps to develop it? Plus, could we know, what projects will be in the shared list? And then the next question regarding the negative €27 million working capital Q1, on the note to you say €42 million are due to the taxes in Quintero. Could you explain the remaining €45 million negative in working capital? And what should we expect for the working capital over the next few quarters?
Arturo Gonzalo: [Foreign Language] Thank you, Fernando. Now to your first question regarding the RCS. So our assumption is that, it remains constant through 2026, through this item or something else that will complement it or replace it. In any case, whenever we know the details of the next regulatory period we will be able to get more clarity on this. But for the purpose of our financial projections in the strategic plan, we've considered this number to stay at the same level as in 2026. And then, regarding green hydrogen, over the next few months we will learn about new regulatory and planning milestones very relevant ones in fact. I would highlight the update of the national integrated, national plan for climate and energy. The government is committed to send its proposal to the European Union in the first half of the year. So we do believe we will learn about that first proposal soon. And then, after the summer we will see the first auction of green premiums for hydrogen. Now these days they're doing consultations to players in the field regarding the terms and conditions of the bank's auctions. We believe the European Hydrogen Bank will initially represent a limited financial boost. The first auction will be €100 million and we can get to €3 billion in future auctions. Nevertheless, the terms and conditions of the hydrogen bank, is laying out the groundwork of a lot of specific work in the definition and deployment of the European hydrogen market. So we do believe that this auction next fall will be a very relevant milestone. We also believe Spanish projects will be in very competitive positions, because Spain is one of the European countries that can produce renewable energy and therefore green hydrogen very competitively. The third fact I would highlight is, the approval of the decarbonized gas package and renewable gas packaging green hydrogen during the Spanish presidency of the EU. You know that there are two directives and one regulation in the package. And one of the directives will set the -- lay the groundwork for the regulated green hydrogen system in Spain. This is a huge milestone. And it is going to clearly establish, how the green hydrogen system is created, what players, what separations will be enforced, what requirements will be enforced. And we believe this regulation will give way to a green hydrogen system very much inspired in the current gas system. And then European states will have to expose the directives to the national regulation. I would also like to highlight that by year-end, the list of share or common interest European projects will be approved. This list should be published in January '24. So 2023 is the hydrogen year really for Europe and Spain. And these milestones are a huge step forward to learn what will be the future regulatory framework for hydrogen in Europe. Regarding your question on the working capital, through the year, we see that effect coming to play. As you mentioned, that there is a negative €77 million. And then, the effects that weight in most as you mentioned are the tax on bringing back the cash from Chile, €42 million. We are comparing this with a €44 million working capital in March '22. The less billing, because there are less tolls for the regulatory framework in the gas framework in '23. That accounts for some €45 million. And then, well, calendar effects and vendor effects are worth €33 million. That's how you get to the grand total that you mentioned. Luis, would you care to add more color?
Luis Romero: Good morning, Fernando. Let me just add that, through this quarter, the negative working capital effect that negative €77 million is very much due to what has been mentioned. The fact that we're bringing the cash back from Chile, €42 million that's withholding tax and the tolls are less compared to the surplus last year. And then, for year-end, we do expect a working capital evolution very similar to Q1. And eventually, this will have positive impact on the system linked to the premiums for offloading tankers and LNG storage. By the end of the year, we will finish with some negative €70 million in working capital. Thank you, Fernando for your questions. Let’s move on to the next.
Operator: [Foreign Language] Next question by Ignacio Domenech from JB Capital.
Ignacio Domenech: Hello. Good morning. Thank you for taking my questions. Could you give us an update on the hydrogen road map? And can we see an acceleration do you think of the common interest projects and investment in 2027? If these investments pick up speed prior to '27, can we expect any changes to the capital allocation of this company for the next two years?
Arturo Gonzalo: Thank you, Ignacio. The more relevant points of our planning for the core hydrogen network in Spain and the two international connections that are the H2Med will not undergo relevant changes vis-à-vis the timeline announced the last December 15 in the process of the PCIs. Why? Well, this timeline is already very tight. And it is adjusted to the dynamics of the PCI process. And it is also adjusted to the European funding requests through the Connecting Europe Facility calls, which is the instrument to be used for this type of large European infrastructure. So we have a very detailed calendar. And in the case of H2Med, we're working with our neighboring countries' TSOs and everything is going according to plan. We don't expect these projects to accelerate, but we don't expect delays either. Then, we believe that in the projects to produce renewable hydrogen in connection with large industrial users the projects that we're coming to know over the past few months, we do see that the hydrogen value chain is coming to maturity and different initiatives are being supported by the European Hydrogen Bank. This year, we will start to see FIDs for large projects. We're talking not in the tens, but maybe the hundreds of megawatts installed capacity for electrolyzers. We will see how the hydrogen market shapes up. In any case, this acceleration will be linked to great hydrogen project rather than the core infrastructure which is linked to European processes and where the timelines are known well in advance. And by the way Ignacio this should not entail any significant changes to the capital allocation of this company for the next two years. We believe changes might happen later on when the construction of this large infrastructure starts. And it wouldn't have a material impact until 2026.
Felisa Martín: Thank you, Ignacio. And thanks to the CEO for your answer. We're ready for the next question.
Operator: Next question by Manuel Palomo, BNP. Thank you. Please go ahead.
Manuel Palomo: Good morning, and thank for your questions. I have three questions hopefully all short and sweet. First about the Varmar [ph]. Could you give us an update? What do we know already what is to be known and when are we going to get more details on the investments? And so and second, regulation, Javier talked about inflation. And my question is as part of these conversations, is there a possibility to do interim reviews as we do in other countries because interest rate hikes are really high very steep and they're not going to be reviewed through the end of 2026 in this country. So in your smooth conversations, could you do a more regular update on the rate hikes? And then a question about the demand. On slide 7, you say that the total demand is negative 7%, but I understand that this includes exports to France eight terawatts per hour that have been particularly high in this first quarter. So my question is what would have been the demand without that one-off? Thank you.
Arturo Gonzalo: Thank you, Manuel. So regarding the Varmar, in a way it's the same answer I gave earlier. We continue to work with the French TSOs to drive forth the technical analysis of the project, so that it can be included in the list of PCIs. This gives way to a review process by the European Union for us and for the rest of the PCI candidates. This process is taking place these months and we make progress on the definition of technical aspects and the project itself as per the calendar established. I believe there will be progress when the list of PCIs is published. And regarding the volume and the capacity of this infrastructure, I would say the update of the national plan by the government will be another relevant point that will give us more clarity. Regarding our conversations with the regulator, I would summarize it by saying that for the next regulatory period Enagás' aspiration is to have a regulatory system as similar as possible to other European countries that are our reference where other European TSOs operate. In any case this is something that needs to be checked with the vision of our regulator. This will be happening over the next few months and years and eventually will yield the new regulatory framework for 2027 onwards. I really cannot whip up expectations regarding any of the aspects that will be included or not. Our aspiration is to play with rules of the game that are as similar as what we see in force in other countries in our environment and with similar TSOs. Regarding the demand, in our strategic plan, we contemplate a gradual reduction of the gas demand. We've estimated it at 30% by 2030. And gradually it will be partially replaced by green hydrogen. And you may remember from the strategic plan we will go from 30 BCM gas transported in 2030 to 50 BCMs gas plus hydrogen, sorry, 30 BCMs 2022 from there to 50 BCMs gas and hydrogen by 2030. We see several things at play with the gas demand that are nonrecurring and are separate from this trend. For example, the exports of gas to France, which is more than what was exported last year. But last year started February 24, we started to export to France in significant amounts. Nevertheless, there's less gas being used for electricity than last year, or in general we also see that the commercial and the household consumption is less than last year due to several nonrecurring effects. For example, in the quarter that was -- this quarter was colder than the same quarter 2022. And then now in April, the temperatures are way higher than those last year. So there are several nonrecurring elements in gas demand to take into account. Nevertheless, the background trend is consistent with that 30% reduction for the next few years through 2030.
Cesar Garcia: [Foreign Language] Thank you, Manuel. Next question please. 
Operator: [Foreign Language] Next question is by Javier Garrido, JPMorgan. Please go ahead.
Javier Garrido: Good morning. Thank you very much for taking my question. So what are the expected milestones in the development of green hydrogen. If I understood it right the milestone that you've mentioned regarding the development of green hydrogen in -- related to green hydrogen in general. But in this industry there are many discussions whether -- regarding whether the production of green hydrogen makes sense only on site or transportation through hydrogen pipelines makes sense. So as part of these milestones to develop a core network in H2MED, what do you think is the key milestone to take the decision to build that core network and network for export, which is going to have eventually impact on Enagás investment decisions? Will it be the open seasons or when will this auction take place? If you could give us information on those milestones, I would appreciate it. 
Arturo Gonzalo: Thank you, Javier. So the development of renewable hydrogen, green hydrogen in Europe will be a big starting point in industrial consumption. Now to that effect, I would like to highlight the agreement made by the European Union's Energy Board recently to review the Renewable Energy Directive, RED III. This directive establishes a duty by 2030, 42% of fuels used by European industry should be renewable fuel from a non-biological source. So in this case this is clearly green hydrogen. That percentage on the total consumption of hydrogen in Europe will go up to 65% going forward. I'm mentioning this because this is a regulatory demand in Europe and it is definitely going to be a key lever to speed up green hydrogen projects in Europe. Let's not forget that the consumption is 8 million tonnes per year of gray hydrogen and that's the one that to be replaced in Europe by green hydrogen. There are definitely several points of view regarding what's the most efficient way to produce hydrogen. But the technical and regulatory consensus in Europe establishes that in order to transport long-distance energy, long-distance molecules are the best way to do so. And in the case of hydrogen, the best way to transport efficiently molecules in long distance and do so quickly is hydrogen pipelines. If we wanted to tend to all the production of the industry on site, we would need to reinforce the electrical -- the electricity grid. And it would be very hard to materialize, very expensive. Local communities might oppose it starkly. And we don't think that's the solution. Now, tending to the imbalances in the production and demand of hydrogen in Europe require building that core infrastructure. And in Europe, it does require building great corridors. And I'm not saying that this is Enagás' vision. This is the vision of the European Union. And it has been very clearly stated in the REPowerEU strategy. So even though part of the industrial consumption might take place on site and in fact some great industrial users are announcing generation projects close to their plants, these projects tend to a relatively small percentage of the total need of hydrogen to meet European goals. And therefore, hydrogen will have to be produced in places closer to where electricity is produced and then will have to be transported through the hydrogen pipelines.
Javier Garrido: Now in Spain what are the milestones to start building the hydrogen pipelines?
Arturo Gonzalo: Well, Javier, you've made reference to our open seasons. And during Hydrogen Day back in January 19 we announced we were going to launch Calls for Interest [ph] which is the first nonbinding mechanism to start matching the supply and demand for the second half of the year. In order to do so, we need the government to update the energy national plan. We believe, again, once that is updated, we can do the first market test to match the supply and the demand and start defining in greater detail the features and capacity of the Spanish core hydrogen network we've presented. These open seasons and Calls for Interest are something we want to do in collaboration with other players in the field. For example, we are creating a work group with gas distributors, so that they can be present in these mechanisms and the necessary capacities to build the core network emerge. So, definitely, second half of the year, that is when we start the process of Calls for Interest and that will be the nonbinding stage for the future open seasons.
Cesar Garcia: Thank you very much for your answer. And, Javier, thank you for your question. We're ready for the next question. 
Operator: Thank you very much. There are no further questions in Spanish. We're going to take questions from the English channel now. Thank you. Let's start with questions in English. The first question comes from Arthur Sitbon of Morgan Stanley. Arthur, please go ahead. Your line is open.
Arthur Sitbon: Hello. Thank you for taking my questions. The first one is on your FFO-to-debt ratio. I think you're saying that it will be above 14% at the end of the year. I was wondering if you were including anything for the GSP arbitration in there. That's the first part of the question. The second one I know you said that it doesn't include credit remedies, but I was wondering if more broadly speaking you would consider potential hybrid issuance to improve your FFO-to-debt faster this year. So that's my first question. The second one is on TAP. So now you're guiding for €70 million of dividend in 2023. I think in the past you had been guiding for around €50 million of European affiliate dividends on average per year. So there's quite a significant difference here. I was wondering if basically your expectations have increased or if 2023 would be an exceptional year for TAP and won't be repeated or if there is anything else that I'm missing here? Thank you very much.
Arturo Gonzalo: Thank you for your questions, Arthur. Regarding the first one we haven't changed our projections for this year. We continue expecting a favorable GSP award. And we continue considering recovering half of the amount next year in 2024. So there is no change to what has already been shared with the market. And so, we maintain our expectations of complying with the 14% of FFO net debt ratio this year. Without needing new credit remedies this year, we don't need issuing a hybrid this year. Of course, we are always monitoring the market to see, which is our optimum financial structure. But our budget doesn't count on issuing a hybrid this year. And we can maintain our credit rating metrics commitments without that. Concerning TAP, you are right this 2023 is an exceptional year. We are going to get non-recurrent dividends from TAP going to this amount of €70 million. The recurrent part of that amount is approximately €40 million of dividend that will continue to be there in the next year. So, you are right. This is an exceptional year with TAP contributing an exceptional amount to our dividends.
Arthur Sitbon: Thank you.
Arturo Gonzalo: Thank you very much Arthur. We are ready for the next question.
Operator: There are no more questions in English. I give the floor back to the management team.
Unidentified Company Representative: Great. If there are no more questions, we can now close the conference. We will be here for you. The Investor Relations will be here to do a follow-up of any question or comment that might arise. Thank you and good morning.